Operator: Good day, and thank you for standing by. Welcome to the OTC Markets Group Second Quarter 2024 Earnings Conference Call and Webcast. [Operator Instructions] Please be advised today's conference is being recorded. I would now like to hand the conference over to your speaker today, Dan Zinn, General Counsel and Chief of Staff. Please go ahead.
Daniel Zinn: Thank you, operator. Good morning and welcome to the OTC Markets Group second quarter 2024 earnings conference call. With me today are Cromwell Coulson, our President and Chief Executive Officer; and Antonia Georgieva, our Chief Financial Officer. Today's call will be accompanied by a slide presentation. Our earnings press release and the presentation are each available on our website. Certain statements during this call and in our presentation may relate to future events or expectations, and as such may constitute forward-looking statements. Actual results may differ materially from these forward-looking statements. Information concerning risks and uncertainties that may impact our actual results is contained in the Risk Factors section of our 2023 Annual Report, which is also available on our website. For more information, please refer to the Safe Harbor statement on Slide 3 of the earnings presentation. With that, I'd like to turn the call over to Cromwell Coulson.
Robert Coulson: Thank you, Dan. Good morning everyone. Thank you for joining us today. I will discuss our second quarter 2024 results at a high level and will review our operational and strategic priorities. Gross and net revenues each grew 1% versus the second quarter of 2023 and remained relatively flat over the first half of the year as compared to last year. Among our business lines, OTC Link experienced the highest growth, up 12% during the quarter, while market data rose by 1%, Corporate Services revenue decreased during the second quarter and for the 6 months of the year. Antonia will review our financial results in greater detail in a few moments. OTC Link's strong quarter was due largely to increased trading volume across our markets. While we cannot control market activity in any given quarter, we consistently look to add and refine features to provide the best possible experience for our broker-dealer subscribers. Last quarter, we discussed the addition of closing cross functionality on our matching engine, ATS. In May, we announced our intent to launch OTC Overnight. OTC Link and our broker-dealer subscribers provide the engine for our entire business. Our mission is to create better informed and more efficient data-driven markets. As a first guiding principle in pursuing that mission, our trading and data businesses must allow our broker-dealer subscribers to trade any security that has investor demand in an efficient and compliant manner. By supporting the success of a diverse community of broker-dealers, we have grown the number of securities traded and have become a global market. ADRs and ordinary shares of non-U.S. companies now comprise over 84% of dollar volume across our markets. Providing a broad suite of trading services remains at the core of our enterprise and initiatives such as closing cross and overnight trading underscore just how much value we place on this part of our business. Our market data results reflect growth in some areas and work to do in others. The Blue Sky business continues to grow, adding revenue in each quarter since our acquisition. We still need to up our game, adding client value to the EDGAR Online data sets and creating new solutions for subscribers. The better we are at delivering useful information onto investor screens and into broker-dealer machines, the more thoughtfully and widely our data is used, the stronger our data-driven market model becomes. The Corporate Services business has been impacted by a reduced number of subscribers throughout the year. OTCQB, in particular, has continued to see a number of financially stressed smaller companies dropped from the market due to non-compliance with the OTCQB rules. Our second guiding principle is the pursuit of increased issuer engagement, which drives market quality, price efficiency and trading volume by improving information availability, data integrity and compliance. This benefits investors, brokers and our markets. Our OTCQX and OTCQB markets and suite of Corporate Services products provide an opportunity for public companies to own their symbols, serve shareholders and engage with U.S. investors. For global companies, we provide a unique and streamlined way to connect a company's local primary listing to U.S. valuations and secondary liquidity. As we seek to engage more companies to take ownership of their trading, we have reorganized our corporate sales and support resources into 3 regional teams covering the Americas, EMEA and Asia Pacific. This will better focus our sales efforts on areas of growth around the world. Corporate Services and their success is paramount to creating informed and more efficient data-driven markets. It is imperative we keep advancing our product offering by better utilizing our increased regulatory role, breadth of data services and expanded technology platform to connect the majority of companies to their U.S. securities markets. While we pursue growth through new product and service offerings over time, we also take seriously our responsibility to be careful commercial operators and thoughtful fiduciaries of our shareholders' resources. Our operating expenses during the second quarter and first half of the year grew by approximately 1%, in line with gross and net revenues. We continue to enhance our compliance and market integrity functions through in-house talent and third-party experts. Operating in a highly regulated space requires that we stay vigilant in meeting our regulatory obligations and our responsibilities to our clients and our shareholders. Compliance and technical competence also form the foundation of our growth efforts. Each new initiative springs from an investment of time and resources that provide a framework to build scalable operations that thrive over the long-term. Overnight stock trading has quickly gained interest across the industry and we are looking forward to launching our OTC Overnight business. The overnight market will offer trading in OTC equity securities from 8:00 p.m. to 4:00 a.m. Eastern Time, Sunday through Thursday. Our broker-dealer subscribers will be able to offer investors access to thousands of global equity securities during Asian market hours, at European market open and overnight in the U.S. We will be able to share the benefits of scale through existing connectivity and infrastructure with our subscribers. Similarly, overnight trading can help introduce our comprehensive market data coverage to new groups and geographies. I look forward to updating you on overnight trading and other initiatives across our business lines as the year moves on. On a more macro level, we continue to make progress in our 5 strategic priorities this year. First, one team, one platform driving results to build the value of one share. Under the initiative, we continue to integrate our teams and consolidate our technology platforms to drive operational efficiencies and client value in pursuit of revenue growth. Second, increase the number of securities on our markets. Our near-term opportunity is greater global trading, supported by overnight access to the securities trading on our markets. We also seek to increase the breadth and depth of ADR and foreign ordinary shares traded in U.S. dollars by U.S. broker-dealers to grow the size of our markets by adding securities, new asset classes and trading functionality for our broker-dealer subscribers. Third, transform the client connection and improve the quality of information. For markets to work best, useful data needs to be on investor screens and in broker machines, connecting company information with trading decisions, facilitating investment analysis and supporting operational and compliance processes. Fourth, mitigate operational risk and strengthen regulatory compliance. In keeping with our focus on market integrity and compliance, we invest in our core trading infrastructure, operational processes and risk management systems as well as our regulatory procedures, in each case to enhance their reliability and our compliance with securities laws and regulations. Fifth, grow revenue across business lines and align resources with long-term value creation. This strategic initiative is woven into the fabric of everything we do. We continue to focus on being good stewards of our markets and thoughtful commercial operators to align our operating costs with recurring revenue generation where managers intelligently allocate company resources and act as fiduciaries to generate sustainable value for our shareholders. In closing, I am pleased to announce that on August 6, our Board of Directors declared a quarterly dividend of $0.18 per share payable in September. This dividend reflects our ongoing commitment to providing superior shareholder returns. With that, I will turn the call over to Antonia.
Antonia Georgieva: Thank you, Cromwell, and thank you all for joining our call today. I would like to start by thanking our entire OTC Markets team for their continued commitment to our subscribers and for driving our business forward. As I discuss our results for the quarter ended June 30, 2024, any reference made to prior period comparatives will refer to the second quarter of 2023. Turning to Page 7 for a review of our second quarter revenues. We generated $27.6 million in gross revenues, up 1% as compared to the prior year period. Revenues less transaction-based expenses were essentially unchanged. OTC Link gross revenues increased 12% and represented 20% of our gross revenues. Revenues from OTC Link ECN and OTC Link NQB increased 19% due to higher share volume executed. As an offset, transaction-based expenses increased 23%. Additionally, OTC Link ATS saw a 15% increase in revenues from messages due to fee increases offsetting a lower message volume. OTC Link also saw an increase in certain connectivity revenue due to the introduction of additional fees at the beginning of 2024. OTC Link finished the second quarter with 114 subscribers on OTC Link ECN and 80 subscribers on OTC Link ATS and had 140 unique subscribers across our ATSs. At the end of the prior year period, OTC Link had 104 and 88 subscribers on OTC Link ECN and OTC Link ATS, respectively, and 136 unique subscribers. Trading volumes remain highly unpredictable and could decline or increase further in the future. Revenues from our Market Data Licensing business increased 1% quarter-over-quarter and contributed 39% of our gross revenues. Revenues from our Blue Sky data products increased 35% with additional subscriptions and pricing adjustments contributing to the increase. Revenues from internal system licenses, delayed data licenses and other data services increased 10% due to growth in subscribers and price increases for certain licenses. Pro user revenues were relatively unchanged. Partially offsetting these increases was a 13% decline in revenues from non-pro users, in line with a 13% reduction in period-end non-professional user counts and a 22% decrease in revenue from EDGAR Online due to subscriber cancellations. Historically, and in the normal course of business, we have seen significant changes in the number of non-professional users as market volumes and retail participation on our markets fluctuate and we may experience a further decline in the future. Corporate Services revenues, which comprised 41% of our gross revenues, decreased 3% in the second quarter. OTCQB and DNS revenues decreased 6% and 7%, respectively, due to a lower number of companies on the OTCQB market and a lower number of subscribers to DNS in the second quarter compared to the prior year quarter. OTCQX revenues increased 2% as the annual incremental pricing adjustments effective January 1, 2024, served to offset the decline in OTCQX companies. In the second quarter, we added 22 OTCQX companies compared to 23 in the prior year quarter and finished the period with 569 OTCQX companies down 3%. For the annual OTCQX subscription period beginning January 1, 2024, we achieved a 93% retention rate compared to 95% in the prior year. On OTCQB, we added 47 new companies in the second quarter compared to 49 in the prior year period and had 1,085 OTCQB companies at the end of the quarter, down 9%. We had 1,432 Pink companies subscribing to DNS and other products at the end of the second quarter, down 8%. Month-to-month variability in our Corporate Services subscribers is driven by new sales, offset by non-renewals, corporate events and compliance downgrades. Turning now to expenses on Page 8. On a quarter-over-quarter basis, operating expenses increased 1%. A 3% increase in compensation and benefits expenses and a 50% increase in general, administrative and other costs were largely offset by an 8% decline each in IT infrastructure and information services expenses and in professional and consulting fees. The increase in compensation and benefits reflects certain onetime expenses and higher stock-based incentive compensation as a result of the cumulative impact of prior year grants, partially offset by lower commissions and cash-based incentive compensation. Compensation and benefits comprised 64% of our total operating expenses during the second quarter compared to 63% in the prior year period. Compensation and benefits expenses in the prior year period included certain non-recurring accruals related to the EDGAR Online acquisition. IT infrastructure and information services expenses and professional and consulting fees decreased primarily due to the elimination of certain non-recurring expenses related to EDGAR Online that were incurred during the prior year period. General and administrative and other costs increased 50%, primarily due to higher bad debt, internal travel, entertainment and bank fees. Turning to Page 9. In the second quarter, income from operations and net income declined 2% and 3%, respectively. Operating profit margin contracted to 30.4% compared to 31.4% in the prior year quarter. In addition to certain GAAP and other measures, management utilizes adjusted EBITDA, a non-GAAP measure, which excludes non-cash stock-based compensation expenses. Our adjusted EBITDA was $10.3 million in the second quarter of 2024, and our adjusted diluted earnings per share were $0.85, each down 1% compared to the prior year period. Cash provided by operating activities amounted to $6.2 million compared to $4.7 million in the prior year quarter. Free cash flows for the quarter were $5.5 million compared to $4.4 million in the prior year quarter. Turning to Page 10. During the second quarter of 2024, we returned a total of $2.2 million to investors in the form of dividends compared to $2.1 million in the prior year quarter. We remain focused on growing our business, operating as prudent stewards of shareholder capital and delivering long-term value to our stockholders. With that, I would like to thank everyone for your time and pass it back to the operator for questions.
Operator: [Operator Instructions] Our first question comes from Steve Silver with Argus Research Corporation.
Steven Silver: With the closing auction and the overnight trading products coming online, I was hoping you could talk a little bit about even broadly just the undertaking of bringing new technology functions into the product suite from conception of the need and the market opportunity to developing the product and then just really in terms of the time, resources, testing and marketing that comes with launching new products into the product suite.
Robert Coulson: Thank you for the question. It's -- that's a big mouthful of question. In general, there's 2 sides. We either have ideas that are coming from our internal development, looking at functionality that other markets have that we believe may be applicable or looking a little more widely outside to solve a current problem. And that's where the internal development comes along. The second side comes from the subscribers. What I would say is the subscribers are very good at incremental improvements. They're also really good at identifying problems they have. The solutions are almost 100% on our shoulders because our -- generally, your clients are screaming about a problem, but -- how you do the solution. So the development process is it depends if it's incremental improvements or if it's a larger initiative. And there are some large initiatives, which move rather quickly. There are other large initiatives where there's alternatives out there already. And this, you have to grind on. So I would say, historically, when we introduced the Link messaging product, it was very fast uptake and it expanded. It allowed us to compete against what a competitor who's no longer around is the OTC Bulletin Board is we did something called QAP, which was a product to really be the billing and payment network for access fees by market makers. That launched incredibly quickly. When we launch our ECN, there were other alternatives out there. It was a long process. We were also learning about being an intermediary, the execution, the risk management. And so starting slowly was a good thing. So for products, where you -- in the cycle of -- is there a brand new thing, there's going to be a fast uptake even in -- when we launched the OTCQB market, it was a new product to convince public companies that they wanted to qualify for a market with standards in the OTC market with the oversight by OTC Markets Group. That was targeted at companies which were trading along in what was called the Pink Sheets back then with no connection into the market, no agreement of the issuer to provide adequate current information. No certification by the issuer's management team of compliance with securities laws and no agreement or intention or relationship with OTC Markets for the issuer to release material information into the market on an ongoing basis or respond to inquiries. So that is and continues to be a process where growth is earned every inch. Is OTCQB 211 were different times because there was a change and companies had to move very quickly, is OTCQB sold very quickly. So it's a different process and trying to align the right resources where it is. And some of your initiatives are going to fall flat. I would say closing cross is market makers do a very good job of providing closing cross to a core group of retail investors, is -- and there's a real value of having the -- your closing price be where the bid offer closes. There are other investors who see information leakage or want to be anonymous and they would like an ECN matching engine process. And so those are building that up, will take time. And as we get some critical mass, it will -- is getting the right players in, but that's -- there's not a burning fire that people have to change to have that alternative. The outside world has a lot of those things. Overnight is super interesting. OTC Overnight is going to be -- it helps our clients because it lets them have a product using a lot of their existing infrastructure. So sharing the benefits of scale is really important. It uses a lot of the technology we have. There are differences we have to do. There's complexities around how you clear and report when the clearing and reporting systems are not open and half is one day, the other half is the other day. But those are things the teams figuring out. And then there's getting the right feeds out there that are in a format people are used to and the messages. So it helps because it allows us and our clients to build on what we've done. I'm a big believer that you only have a couple really smart ideas during the career. And most of it is taking an okay idea around a problem and getting in a room and grinding it out and then getting out to the clients and figuring out if it fits, figuring out where you're wrong, but still chasing it down until you've got a solution that adds value to the client. And since we're a B2B technology is that either helps them do more business on their existing platform or helps them do their existing business at a lower cost and hopefully does both. Sorry, that's a bit long-winded.
Operator: Our next question comes from Brendan McCarthy with Sidoti.
Brendan Michael McCarthy: I wanted to start off, looking at OTC Link, obviously, strong transactional results there in the quarter. Just curious as to how much of that you attribute to kind of that re-ignition of meme stock trading that we saw over the quarter?
Robert Coulson: So meme stock trading, how many public securities are there in the world? 40,000, 50,000? How many real meme stocks are there? 5? We don't really have any meme stocks, like those are the real ones which are, but we have had some hot stocks. And what I think is super impressive is about the breadth of our market. If you look at our -- at where the growth is, it's coming from global trading around the world. One piece that we've had to claw back from was GBTC and became ETFs. So you're missing volume from the previous time. And that was a great product to trade, but the breadth of trading across our markets is important and for us to have other products we find, expand the amount and have the value out there. So a lot of it is more markets moving investment -- investable securities. And if you read, there's a letter by Virtu that they wrote to the SEC about problems of exchange listed low-priced securities. And if you looked at that, I think you will see that one challenge we've also been working through is the exchanges' listing standards have been lowered substantially. And the industry is pushing back because those securities don't trade as well in an exchange environment. And we think that rather than -- for companies that are -- that have risks, our data-driven market model is a much better model to have the market price it at an appropriate level.
Brendan Michael McCarthy: Got it. Well, I wanted to turn to EDGAR Online. I know there looks like there were some subscriber cancellations there in the second quarter that impacted results. Can you talk about the demand drivers behind that as well as maybe just give us an update on the strategy on ultimately monetizing EOL?
Antonia Georgieva: Brendan, I'll address the subscriber cancellations briefly. Just to clarify, those were not necessarily during the second quarter. As you remember, we acquired the business at the end of 2022 and the first half of last year, we were still integrating the business. And that also was a period that provided some of the legacy customers with opportunity to reconsider their use of the products. So we did see cancellations happening as the year progressed -- last year progressed and many of them occurred in the second half of last year. So now we are seeing the impact of that -- those cancellations, but I just wanted to make it clear that they're not necessarily cancellations this quarter versus last year quarter. In terms of the future trends, we now have a better understanding after we've integrated the business and the clients into our systems as to the customer account, and we have started to disclose the approximate numbers of subscribers and you'll be able to see going forward a more clear comparison and period-to-period of the subscriber counts that we have for that business.
Robert Coulson: And this is Cromwell. So moving it, the technology, took a lot more resources. We learned a lot. The next time we have to go move a company's technology, I would say we will have more experience. So optimistically, we will be smarter. It was a big lift. We delivered uptime to clients. There weren't any outages. The EDGAR Online business itself has been a neglected business and the decline we don't fix instantly. I am not happy with our putting more value out to existing clients. I think every client we have should see improvements in their products over a year. That's a core of stuffing value and adding new features in any subscription with transactions on top business. We have to do that. But we're getting back out off the back of our skis. And there's really 3 projects. One project is removing part of the legacy software and adding modern cloud features that is better complexity. A second feature is going to support our Corporate Services business clients in one geography, but open up opportunities for partnerships around the world. That feature, I think, is going to be very interesting how we do it. And our third piece is integrating 2 parts of our data where EDGAR Online gets SEC filing, shares outstanding, we have the best shares outstanding for non-exchange traded securities. And it's more timely than exchanges have for their own securities because we have direct connections to transfer agents. So having a breadth of shares outstanding, shares authorized from -- that has the complex, harder things, which is in the unlisted space, is with -- a standard part from the SEC filings is of high value. So that piece is integrating that. So I'd say there's 3 initiatives. We're also going to find out how good we are at touching the technology and moving it forward is -- and we're going to learn. So that point is we've said this is a multiyear turn -- this is a multiyear turnaround. I look at the market data group. EDGAR Online supports the Blue Sky product. It supports our compliance files. It also supports our Corporate Services business where we get revenues that are long-term enduring that add value. We need to get in front of the clients. We need to cross-sell the clients. We've run market data, the 2 other business lines. One is just distributing data through large market data distributors, which is a fantastic business. The other is -- enterprise is providing real-time "trade data feeds" to on enterprise licenses. That's another good business. But this is -- we're going to learn to be a better company as we put together the third leg of the business, which has our Blue Sky, our compliance, our 211, our EOL products, which I would call our fundamentals and compliance data set is into one team that can create robust solutions for broker-dealers, compliance departments, regulators and market data distributors. But we're still working on that.
Brendan Michael McCarthy: Thank you for the insight there. I wanted to ask one more question on the overnight trading initiatives. I think in the prepared remarks, you mentioned there was a real opportunity with the Market Data Licensing business and potentially attracting new market entrants there. Can you expand on what that opportunity looks like?
Robert Coulson: Well, so overnight trading is a lot of the demands coming out of Asia. So there's a bunch of firms that want to access trading in the U.S. who are based in different countries and they come into the U.S. I mean what's happened is the U.S. is the global market. Everybody wants to own the S&P 500. They like owning U.S. stocks, the whole world. So there's all these brokerage firms around the world that come into the U.S. to trade. And these people are also, despite some skepticism from other parts of the industry, want to be able to trade during their own daytime hours. And we have a batch of global securities that are very interesting. And we have some domestic securities, too. And so the ability to do that on our system is very useful because we want to protect our ground. It gives us a talking point out to those clients who are sending daytime business as well is -- and it creates an opportunity for us to have conversations with subscribers about what else they can trade. And can they use the same connectivity. And that's -- we need to be able to scale our business and you scale your business by having your clients benefit from the shared scale. And there are certain costs of running a regulated business or a technology business that are fixed. So the more things you can put on top of that, the better you can support the business can support the business forward and deliver value, price points at value for your clients.
Operator: [Operator Instructions]
Daniel Zinn: Operator, before we end the question session, we had questions submitted via e-mail. I'm going to pose to Cromwell on behalf of the investors from investor [ Harry Bornstein ]. First question is asking for your comments on the Texas Stock Exchange value proposition that they are proposing around lower cost listing and less regulatory complication. And do you view that as a shift at all in the competitive landscape?
Robert Coulson: So the Texas Stock Exchange is a good marketing ploy and if you look at the investors' base, one of the large investors is trying to get on the right side of red state treasurers who supply their pension funds. It is the idea that you can spin off a national securities exchange and have any listing standards you dream of that are politically on one side of the spectrum is interesting. It goes against what the industry has seen happen and that is the exchanges no longer own their listing standards. The New York Stock Exchange, NASDAQ, their listing standards are controlled, owned and all change is driven by the SEC staff. And if you ask a public company, what's the difference between the listing standards, they tend to say, I don't really know. It's really a branding exercise or where my peers is or who my investment banker likes playing golf with. So the -- and if you've looked at every other listing venue that has started up, they have a choice, do we do New York Stock Exchange standards or do we do NASDAQ standards? They tend to do NASDAQ standards because they're a little loser is -- and they file the same thing. So it's really homogenized with some marketing. And that's what exchanges are. They're really brand merchants. And brand -- and if you step back and you look elsewhere in the industry, outside the financial service industry, you have an advertising strategy firm come in, they're going to say, look, the world's changed. It all used to be paid and now you got owned and earned. And we really think about our markets is we're trying to provide functionality across data distribution, financial standardization, feeding it into compliance processes, regulatory standards that are met and taking all of that complexity out in a series of different processes and engines as we digitalize the data, but let companies own and earn their public trading, their visibility and their valuation over time. And that's what we're seeing outside of financial markets. It's a bit of a disruptive idea. But it's also the one place where we can deliver real savings to public companies. And if you're listed on a non-U.S. exchange, we have a really competitive offering to give you ownership of a symbol into the U.S. to deliver both the visibility and the compliance and the tradability. And if you're a public company that has a strong capital structure and you just want to have your shares traded, which is what we see in the community bank space, which is what we see is how we've done our own stock, we also a less complex way to have a public market that gives management time to be businessmen, not stock promoters. The exchanges, if you want to promote your stock really aggressively, they've got great brands for that.
Daniel Zinn: There's one more question. I'll paraphrase a little bit. Looking at the growth over the past couple of years, what do you think about things like price changes, price increases and cost cuts going forward as a way to see growth? And what about longer-term prospects for the organization in terms of how we can leverage what we have and achieve growth going forward?
Robert Coulson: So I'll always been a product and market structure nerd. How can you make the trading work well? How can investors have their information on screens they need to make, analyze value and trade securities? How can companies demonstrate the -- where they comply with regulations to have restrictions removed? And how do you do that with technology is -- there's room to go, is I believe we have a really unique network model for our OTC Link ATS. And we also have integrating in the 2 other ECNs if the tools for broker-dealers to be able to trade securities that are lots of different securities in a regulated and transparent market. And for the issuer world, we have about 25% companies that they are engaged. Our goal is to take that higher. We have to earn every inch. We have to educate every company. We have to take the success. And I think what Grayscale did with their products was fantastic. They never could have done what they wanted to do if we hadn't created OTCQX on top of the electronic trading markets that we've created, which is connected to the incredible technology infrastructure of our broker-dealer subscribers and prices distributed throughout the U.S. broker-dealer ecosystem. Is there's opportunities to use that network as an alternative. And I also believe it's important to have that alternative versus the standard exchange narrative. That said, we're also fiduciaries. So we constantly are looking to how we grow the business and how we deliver value over the long-term. The majority of my net worth is in the stock and the Board all has substantial holdings and employees all have substantial holdings. So our goal is to grow the value of this company over the long-term. Growth is never linear unless you're cooking the numbers. So -- and that comes from my history of being an investor. If I saw linear growth or numbers going forward, our numbers are going to have noise. And we're going to be grinding stupid mistake, grinding, learn, get better. Wow, that was good. What are we going to do next? And that's how we've done it historically. And hopefully, that is something we will move forward towards is because we have a great group of people in the organization. We have great clients and we have a strong capital structure and opportunities to grow all of our business lines, but they won't grow if we just keep the status quo. We need to be agents of positive change.
Daniel Zinn: All right. That's all. Thanks, operator.
Operator: And there were no other questions on the phone lines, either so I'd like to turn it back to the Cromwell for any closing remarks.
Robert Coulson: Thank you, operator. I want to thank each of you for joining us today. I would encourage you to read our full 2024 second quarter report and the earnings press release for more information. Links to both are available on the Investor Relations page of our website. On behalf of the entire team, we look forward to update you on our key initiatives that will continue to shape the integrity and competitiveness of the public markets.
Operator: Thank you, ladies and gentlemen. This does conclude today's presentation. You may now disconnect and have a wonderful day.